Operator: Good morning. And welcome to the RE/MAX Holdings First Quarter 2025 Earnings Conference and Webcast. My name is Ellie, and I will be facilitating the audio portion of today's call. At this time, I would like to turn the call over to Andy Schulz, Senior Vice President of Investor Relations. Mr. Schulz?
Andy Schulz: Thank you, operator. Good morning, everyone, and welcome to RE/MAX Holdings' first quarter 2025 earnings conference call. Please visit the Investor Relations section of www.remaxholdings.com for all earnings-related materials, including our standard earnings presentation, and to access the live webcast and the replay of the call today. Our prepared remarks and answers to your questions on today's call may contain forward-looking statements. Forward-looking statements include those related to agent count, franchise sales and open offices, financial measures and outlook, brand expansion, competition, technology, housing and mortgage market conditions, capital allocation, credit facilities, dividends, share repurchases, litigation settlement, strategic and operational plans and business models. Forward-looking statements represent management's current estimates.RE/MAX Holdings assumes no obligation to update any forward-looking statements in the future. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those projected in forward-looking statements. These are discussed in our first quarter 2025 financial results press release and other SEC filings. Also, we will refer to certain non-GAAP measures on today's call. Please see the definitions and reconciliations of non-GAAP measures contained in our most recent quarterly financial results press release, which is available on our website. Joining me on our call today are Erik Carlson, our Chief Executive Officer, and Karri Callahan, our Chief Financial Officer. Ward Morrison will join us for Q&A. With that, I'd like to turn the call over to RE/MAX Holdings, CEO, Erik Carlson. Erik?
Erik Carlson: Thank you, Andy. And thanks to everyone for joining us this morning. We started the year on a positive note from a financial perspective, as our first quarter results feature higher than expected revenue, margins, and profits. Our team's focus on operational excellence continues to help margins, enhance overall profitability, and strengthen our foundation. Karri will provide more details in a few moments. Broadly, the macroeconomic situation and the real estate market are clouded with uncertainty. There are many puts and takes, including tariffs, rising inventory, what could happen with interest rates, even recent debate and change in industry policies. Let me spend a moment on that. The National Association of Realtors recently modified its Clear Cooperation Policy, which aims to provide more flexibility for home sellers and their agents while maintaining the transparency and fairness of the MLS system. RE/MAX continues to support transparency and fairness as cornerstones in real estate. The recent introduction of the updated policy provides a balanced approach, addressing diverse seller preferences while preserving the intent of the Clear Cooperation Policy. It's imperative that agents ensure transparency with their clients, clearly outlining the implications of delaying the marketing of listings and helping them adjust expectations accordingly. Ultimately, promoting listings to a broader audience remains in the best interest for most buyers and sellers, a position that RE/MAX has consistently held and still supports. We are proactively helping our network navigate this change, and we remain focused on those things within our control. Having the number one brand in real estate and the most trusted, most productive professionals in the business gives us great confidence in our network's ability to adapt and succeed as they have for over 50 years. As we mentioned on our last call, 2025 is an important year for RE/MAX Holdings and its brand. It's a year of transition, continued building, innovation, evolution, and execution. Since I arrived, we've been working on improving the strength of our foundation, people, process, products, and platforms. These efforts are positioning us for long-term success. We are focused on elevating our value proposition to help affiliates win more listings, save time, and profitably build their business. Since our last earnings call, we've unveiled bold new resources to help us achieve these objectives. They all support our strategy of expanding and modernizing our products and services and enhancing our competitive advantage. We've made several notable announcements this year involving refreshed dynamic branding, expanded access to productivity boosting agent education, a user-friendly social influencer platform, advanced new marketing resources, a comprehensive global referral system, and importantly, an innovative onboarding program called Aspire that will help us attract and develop the next generation of top-producing RE/MAX agents. At this year's R4 Convention in February, we unveiled a “refresh” of our RE/MAX logo type and balloon logo designed to continue efforts to modernize the branding online and on social media. The dynamic visual identity will help RE/MAX affiliates present themselves in a contemporary way across all digital platforms. We're excited to continue rolling out the refresh brand throughout 2025 and beyond. We also introduced MAX/Engage, an easy-to-use social influencer platform that provides trending content and shareable posts and features rewards, loyalty, and gamification components. It helps the brand get loud, get loud across social channels and throughout the RE/MAX network, encouraging agents to embrace the size and scale of the RE/MAX brand, including our tools, education, and unique culture of highly productive and professional agents. We know it's critical for agents to present themselves online in a professional manner. The vast majority of customers start their home buying or selling journey online, and three-quarters of consumers rate a company on how they show up across digital channels. We're committed to providing tools to modernize how the number one brand in real estate and the most trusted agents in the industry present themselves across digital platforms. These first two programs, our refresh branding and MAX/Engage, help create a more consistent and professional RE/MAX image across the board. Exciting new marketing tools are also being deployed, including the launch of a global marketing platform that can be customized at the local franchise and agent level, the successful Max/Tech Lead Concierge Program, and AI-powered website enhancements. We also recently launched the HomeView app, which enables agents to easily communicate with and maintain post-sale engagement with clients. Coming soon, a new full-service global referral system called Max/Refer will be available with AI layered in to easily enable a RE/MAX agent to find the right referral partner and track everything, including the referral fee being paid. Our worldwide footprint, a network of 145,000 agents, is unmatched and growing, as evidenced by the fact our global agent count grew by over 10% in Q1. Max/Refer will help elevate the customer experience and help us further enhance our global competitive advantage, which brings us to our innovative new onboarding program, designed to help shape the next generation of top-producing RE/MAX agents, Aspire. This strategic program combines world-class education, the advanced technology solutions in Max/Tech, and financial incentives to support agents who are driven to greatness. We're very excited about Aspire for a host of reasons. It combines many of the foundational pieces we put in place last year, including improved technology, an expansive customer feedback loop, enhanced analytics, and leveraging the power of the network scale. Aspire has been specifically designed to attract promising recruits, increase agent productivity, and through both recruiting and retention, have a positive impact on agent count. Enhanced recruiting represents one of the greatest opportunities to grow agent count. The fact is, RE/MAX broker owners have not recruited as many agents in recent years as they did in the past. Many have told us their recruiting efforts would be more effective if RE/MAX could provide more assistance in onboarding and share more of the economic risk in recruiting new agents to the brand. These recruits could need a little more time to build their skills and increase their productivity to RE/MAX levels or transition their book of business. We know we can help those agents who want to be more productive achieve their goals. As a result, the educational component of the Aspire program, which is integrated into Max/Tech, is critically important and valuable. According to Buffini & Company, agents who complete its 100 Days to Greatness course average seven closed transaction sides, $75,000 in gross commission income, and a handful of referrals during their first year. Retention is much higher when agents reach that level of earnings. Later in the second part of the year, agents in the Aspire program will also benefit from the certified full-service professional course, which will help them to become trusted professionals in virtually every aspect of the business. The technology piece is very impactful, because agents who use Max/Tech are nearly twice as productive as those who don't. Plus, agents in the Aspire program will be learning the Max/Tech platform as they build their sales skills, multiplying the retention factor. Early responses and reactions by the network have been quite positive, and we look forward to sharing more on our next earnings call. We've intentionally picked up the pace of change at RE/MAX as we see many opportunities, opportunities to improve the customer experience, to expand and elevate our value proposition, and diversify and generate more revenue. With recent exciting additions to our leadership team in both Canada and the U.S., it continued maturation of our Lead Concierge, RE/MAX Media Network, and conversions, mergers, and acquisition programs, alongside the slew of recently announced initiatives. Look, it's a new day here at RE/MAX, and we are open for business. Now, I'll turn it over to Karri.
Karri Callahan: Thank you, Erik. Good morning, everyone. Our first quarter results were a continuation of a trend we have consistently seen over the past year, driving better than expected expense management to deliver positive margin and profit performance. Our top-line performance was also solid this quarter, thanks to healthy broker fee revenue. Moreover, strong operational focus and execution helped produce lower than anticipated expenses, despite the macro conditions. Some of our notable quarterly financial highlights included total revenue of $74.5 million, adjusted EBITDA of $19.3 million, up 1.5% over Q1 of last year, adjusted EBITDA margin of 25.9%, an increase of 164 basis points over the first quarter of 2024, and adjusted diluted EPS of $0.24. Looking closer at revenue, excluding the marketing funds, revenue was $55.6 million, a decrease of 4.3% compared to the same period last year, driven by negative organic growth of 3.2%, and adverse foreign currency movements of 1.1%. The decline in organic growth was principally due to lower U.S. agent count, mortgage segment revenue, and revenue from previous acquisitions, partially offset by higher broker fees. The challenging mortgage market continues to impact our mortgage segment, and it may take a few more quarters to return to consistent revenue growth. However, there are some positive signs. In FY 2024, network-wide transactions and volume increased compared to 2023. Recently, we also experienced a flurry of franchise renewals, with long-term Motto owners recommitting for another seven years. Lastly, our Annual Broker and Loan Originator Conference saw its highest attendance since 2019. These developments are encouraging indicators of the mortgage sector's resiliency and highlight the enduring value and opportunity of being a Motto affiliate. For the fourth consecutive quarter, margin performance improved, thanks to our focus on ongoing operational efficiencies. First quarter selling, operating, and administrative expenses decreased $2.7 million or 5.9%, to $43 million. There were many modest puts and takes, but the cost reductions were primarily driven by a decrease in professional fees and certain personnel and events-related expenses, partially offset by higher equity-based compensation and other technology investments. We continue to generate positive operating cash flow. However, our first quarter cash generation tends to be a little lower, given the seasonality of our industry and our annual investment in R4. Consequently, our total leverage ratio was 3.61:1 as of March 31, almost the same as it was at year-end. We expect our TLR to decrease as we get into the back half of the year as we benefit from stronger seasonal business trends, which should produce higher amounts of free cash flow. We continue to believe our patience, from a capital allocation perspective, has been prudent. Our priorities remain unchanged, and we are strategically reinvesting in the business and building our cash reserves as we work to lower our TLR below 3.5x. Now, on to our guidance. Given the uncertainty in the current macro environment, coupled with the challenging real estate market, we have a tougher than usual task when it comes to forecasting future results. However, we are excited about all of our ongoing initiatives and the momentum we are building. Our second quarter and full-year 2025 outlook assumes no further currency movements, acquisitions, or divestitures. For the second quarter of 2025, we expect agent count to increase 1.5% to 2.5% over second quarter 2024, revenue in a range of $70 million to $75 million, including revenue from the marketing funds in a range of $17 million to $19 million, and adjusted EBITDA in a range of $22.5 million to $25.5 million. For the full year 2025, we still expect agent count in a range from negative 1% to positive 1% over full year 2024, revenue in a range of $290 million to $310 million, including revenue from the marketing funds in a range of $71 million to $75 million, and adjusted EBITDA in a range of $90 million to $100 million. With that, I'll turn it back to Erik for closing comments.
Erik Carlson : Thanks, Karri. I just wanted to note that this is Ward Morrison's last earnings call. After an impressive 20-year run at RE/MAX, Motto, and wemlo, Ward is retiring from RE/MAX Holdings next month, getting married, and heading off to start the new chapter of life. We thank him for his many contributions and wish him nothing, but the best of luck. Thank you, Ward. With that, operator, let's open it up for questions.
Operator: Thank you. We are now opening the floor for question-and-answer session. [Operator Instructions] Your first question comes from the line of Anthony Paolone of JP Morgan. Your line is now open.
Anthony Paolone: Thanks. Good morning. I mean, the first question is on the franchise sales line. I know it's a smaller revenue line, but down a decent amount year-over-year. I was wondering, how much of that is maybe just the conference versus whether that line item is going to be pressured from some of these other initiatives to combine franchises and help grow teams and other things that might take away from the actual franchise sales.
Karri Callahan: Yeah, good morning, Tony. Thanks for the question. So, I think a couple things. As it relates to the annual conference, it was actually a fantastic conference this year. Although attendance was down a little, but I think engagement was significantly up. So from a revenue perspective, we were a couple hundred thousand dollars down. The other thing that's pressuring that line is actually the wind down of some of our prior technology acquisitions, so our Gadberry acquisition in particular. That's pressuring that line item by a little more, sort of $0.5 million. We're going to see that continue into Q2. But I think the thing that's really exciting about just the Q1 performance, is we've seen the margin performance continue to increase. We've obviously been focused on the cost side. 2025 is really about the additional revenue opportunity. So we did have some of that offset for Gadberry. It was modestly offset by some of our newer initiatives, our Lead Concierge Program, our RE/MAX Media Network Program. And so I think for us, it's really thinking about how do we continue to grow the existing base, the existing business, but also look at those ancillary revenue opportunities that we think ultimately, especially RE/MAX Media Network, could be a seven-digit revenue opportunity over the long term. It just really kind of depends right now given the macro, how long it's going to take for that opportunity to ramp up.
Erik Carlson: And Tony, this is Erik. Specifically kind of as it relates to maybe units and just the market a bit, I mean, I do think that they're –it's been well kind of documented. But there'll be some consolidation in the industry. You are seeing a little bit of that now. I mean, I think it's been focused maybe a little bit more on the mortgage side than the real estate side today. I do think that if you want to talk about valuations, I do think that there's a little bit of spread, too large of a spread between the bid and the ask. And I think that folks are still riding a little bit high, kind of on maybe some of those spikiness of the COVID years. With all that said, look, for us it starts with kind of people, process, products, and platform, like I talked about in the opening remarks. And one is, we're retooling the team. Two is, we definitely are seeing a lot of inbound activity. Folks wanting to make something happen with the RE/MAX brand. That can be through the broker channel. That could be through us specifically. And I think that in the back half of the year, I think that the CM&A and the M&A activity will probably pick up. I think right now also, just with the overhang, with uncertainty in the market, I think people are just kind of in a little bit of a wait-and-see attitude on that front, and I think that they are also trying to hang on. So those opportunities that would come to you from being on the edge of maybe bankruptcy aren't quite there yet. But I think that those operators that are struggling, that aren't reinvesting in the business, that will probably come to fruition late Q2, earlier Q3. Hopefully that helps.
Anthony Paolone: Yeah, no, that's a great color. And then just my other question is just more on the OpEx side. You all have done a good job of containing that, even with the backdrop of inflation. So just wondering like how much you think is left potentially to go there before you've just kind of squeezed everything out that you can.
Karri Callahan: Okay Tony, good morning. So I think the OpEx side, I think we have really put in good discipline around everything that we're doing, and we're really trying to be strategic in terms of allocating every dollar that we spend, so that we can run the business as efficiently as possible. I think it's nice to have seen it show up in the financials, obviously not only this quarter, but it has been a trend that I think we've been able to demonstrate. And so I think we've made some good decisions too. You know we got a lot of the litigation behind us, so we're seeing some relief from a professional fees perspective. And Erik mentioned earlier, really being thoughtful from a personnel perspective, making sure we've got the right people on the team and really trying to contain everywhere that we can. So it continues to be a laser focus. We continue to look at everything around every turn, and it's really been more ingrained in our culture over the last, probably 12 to 18 months than it was previously. But I think right now we're really focused on turning that around, and again, focusing on the top line, the strong franchise model that we have. If we can keep the cost contained and get the top line going, you're going to see that really expand from a profit perspective, not only in terms of the absolute dollars, but the margin performance as well.
Anthony Paolone: Okay. Thanks, and best wishes, Ward.
Operator: Your next question comes from the line of Nick McAndrew of Zelman. Your line is now open.
Nick McAndrew: Hey, guys. Thanks for taking my questions. I just have a couple on the new Aspire program, and I think it seems like a really encouraging step towards narrowing the gap with some of the more flexible cap-based models in the industry. And I'm just wondering kind of how are you thinking about the competitive positioning of Aspire, maybe versus some of your peers, and does it now give you a seat at the table with agent cohorts that might not have considered RE/MAX before? And maybe you may just start there. Thank you.
Erik Carlson: Yeah, thanks Nick. This is Erik. I appreciate the question. You know, the team's kind of worked hard on the Aspire program. And I think I said it on the last call. I mean, we are looking to turn over every rock and make sure that our value proposition stacks up at least equal, if not better, to our competitors. Now, we still have work to do, but you are starting to see some of the fruits of that labor and some of our announcements at R4, and Aspire is just one of those tools that are in our belt right now to help our brokers be more successful in recruiting agents. So I do think it opens up the top of the funnel, along with other things that we've done, like showing up a bit differently in social and on digital with the brand, some of the other pieces that we're talking about with our MAX/Engage or our platform on our MAX/Tech. So these are things that agents and brokers are interested in, and so I do think our top of the funnel is widening. People are saying, hey what's happening at RE/MAX? I might take another look. And part of the challenge in running a small business is obviously economics and making investments and being able to have the capital to do that. And so we're sharing the financial risk with our brokers to help them, one, be able to recruit agents, but I think more importantly is onboard those agents and make sure that there's a path to professionalism and productivity. Because as we looked at new agent onboarding over the last few years, you see some higher churn rates in those folks that are in the kind of 1-12 month or the 13-24 month period. And maybe this just takes me back to my subscriber days in TV. But bringing on folks and having them churn out at a higher rate actually just kind of – it wastes a lot of time, money, effort, not only at HQ, but more importantly with our brokers. So we want to make sure that we're providing tools, processes, systems that help our brokers and agents win more listings, save time doing it, and can make a little bit of additional money and really bring profitability back to brokerages. And so Aspire not only, I think, opens up the top of the funnel, but if you thought about kind of the mid and the lower, I think it pushes those – it'll push those agents into a productivity and performance category that will help them in months 6-12 and 13-24, so the success rate will be higher long-term. And really, I mean, that's what we're here to do, build long-term businesses.
Nick McAndrew: Yeah, thank you, Erik. That's really helpful. And I guess one going off of that is, I guess, how do you see Aspire coexisting with maybe your more traditional high-performing agents and teams? Like is this something that could eventually evolve into a suite of flexible models that allow brokers to compete, or is it – just, I'm curious kind of how both models coexist.
Erik Carlson:  I know you guys really want me to talk about the strategy, don't you? But looking forward, I think I've discussed it before. I mean, the economics of being part of RE/MAX, obviously we're looking into those, right. And so I think Aspire is our first step in trying to provide some flexibility in what agents and brokers need to set up a successful RE/MAX and gain and build market share in their local community, and so more to come on that. But we will have flexibility, more flexibility in our models, more flexibility in our tool set. So today Aspire can be used alongside kind of our, we'll call it, for lack of a better term, our standard model that we've had in place for some time. As we move forward, you'll see more tools, products, services, again to help agents and brokers be more successful to build that market share in their local community.
Nick McAndrew: Great. Thank you, guys, and congratulations Ward.
Operator: Your next question comes from the line of Stephen Sheldon of William Blair. Your line is now open.
Stephen Sheldon : Hey, thanks for taking my questions. And just kind of following up on the new initiative, it's great to hear about all those. Can you just give more detail on how the early feedback has been across the system with, I guess, Aspire and others? And do you think these initiatives could be enough to stabilize U.S. agent count and an eventual return to growth? Any thoughts there?
Erik Carlson:  I mean, feedback's been positive, right. Adoption rate has been higher than I thought through the month of April. You know, as you can imagine, we have – at HQ we have programs that we put in place to help brokers and agents. Brokers then have to adapt those programs to what specifically works in their market. It's part of really the beauty of the RE/MAX model, right, having kind of a national or international umbrella, but then very successful, tenured professional brokers in the local community that can help to adapt our programs to what their specific agents at their specific time of life in the community, what their customer demographics look like, right, they do those things. And so we're working through that with our brokers today. But to specifically answer the question, I mean, look, the adoption rate is better than I thought, so I feel great about that. I do think that we are building a value proposition that is making agents within the RE/MAX network very happy and outside of the RE/MAX network look at some of the things that we're providing and thinking again about, hey, what's going on over there? I'd like to be a part of that. So we're seeing some great inbound traffic from agents, from other brokerages, and it's exciting times. So do I think – I mean look, overall, real estate has some pressure on us. I think that, again, we're better positioned than others, because of the professionalism, the productivity of our agents, and the trust factor that they bring. And so in hard times and with consumer demand a bit low, I think that our network is poised to be more successful than not. So do I think that we can stabilize agent count and get back to growth? Absolutely, I do.
Karri Callahan: Yeah, and one thing I would add, just from a numbers perspective with regards to that stabilization, when we look at U.S. agent count in particular in April, it was actually the best month of April going back to 2022. So we did lose kind of tens of agents in the U.S. in April, but it was better than the April performance that we saw, both last year and in 2023. And I think that really is hopefully some start of really building into the numbers, the momentum that Erik was talking about, that we're really hearing not only from the network, our franchisees, and our agents, but also I think to Erik's point, how we've shifted the narrative from a broader industry perspective.
Stephen Sheldon : Got it. That's helpful and really good to hear. Maybe following-up on Motto and first there, congrats to Ward on the retirement and the great run. But just on the revenue trends, I think, Karri, you gave some commentary. We saw a bigger decline there than I think we were expecting. Was that more about the market backdrop? I know it's a very challenging backdrop, but was that more about the backdrop, or is there anything on the execution side? And then just any updates on leadership plans there going forward?
A - Karri Callahan: Sure, yeah, I'll kick it off from the beginning. So from a revenue perspective, it is, a lot of it is just really macro driven. It's obviously a tough environment for both, kind of the legacy Motto business, as well as what we're seeing in terms of the processing business from a wemlo perspective. So obviously our open office count is down a little bit year-over-year, and so that's really probably the biggest driver there. But as I said in the scripted remarks, we really have seen some stabilization there, over on a kind of sequential quarter basis, which is good to see. And I know that the engagement that we had at our Motto Mile, our event in April, was very, very positive. So people still see the importance in the field in terms of ancillary services and mortgage. It's something that we think is still a tremendous growth opportunity for us. We just kind of got to wade through the macro to kind of get on to the other side of it.
Erik Carlson: And then on Ward's retirement, obviously we're super sad and sorry to see him go, although we're really excited that he's able to ride off into the sunset and start this new chapter. Look, we have a great team in place at Motto and wemlo, and so that team is doing great things right now. I think that like first off, Ward is just irreplaceable. I'll say that. But we do have an active search both internally and externally. Obviously with the mortgage market, there's a lot of great candidates out there. And so we'll look both, within the walls and outside the walls, and we'll have an announcement on that, I hope, before our next earnings call.
Stephen Sheldon : Sounds good. Thank you.
Operator: Your next question comes from the line of John Campbell of Stephens Inc. Your line is now open.
John Campbell : Yeah, thanks. Good morning, guys. And I'd like to extend the sentiment to Ward as well. It's been a pleasure working with you all these years and wish you the best. So piggybacking off of Tony's question earlier about the ability to grow margins and profits, I think that's been four straight quarters for you guys despite the top line pressures. It sounds like, from Karri's comments, maybe a little bit of a culture or corporate shift around a greater focus on cost control. So Karri, my question for you is, once you guys get back to revenue growth, are there areas of the business where you feel like you'll need to revisit from a reinvestment standpoint, and then bigger picture where you feel like you can take margins over maybe the medium term, just assuming better revenue growth?
A - Karri Callahan: Yeah, it's a great question. I mean, we are really – it has been pretty broad-based. And I think right now it is – the focus right now in terms of where we're allocating dollars and allocating time is really getting back into that value proposition. So really looking at everything from products, services, tools, platforms to really help our agents win more listings, be more efficient, and really help to drive profitability. So that's really where we're focused right now, really kind of looking more in that marketing area from a technology perspective and also making sure we've got the right service and support staff to be able to deliver that value out into the field as efficiently and effectively as possible.
Erik Carlson:  And John, this is Erik. I would just say, look at the investments we're making. Some are success-based like we've talked about in the past, which are good things for us to sink our teeth in. I think the other thing is, like as we're kind of rebuilding the foundation of the flywheel, we will, I think you are spot on. Obviously we will be making additional investments to grow the top line, but we'll be very purposeful about those. You know, not only is it cost control and thinking about how to do things more efficiently, but being purposeful in our investments and making sure that we're getting a return on our capital for our shareholders. So more to come on that, but we really appreciate the questions. You're spot on there.
John Campbell : Okay. I appreciate that. And then on the acceleration of international agent growth, that's been great to see. Just two questions related to this bigger picture on international. I guess first, just kind of what's driving that momentum. And then secondly, I think you're getting to roughly – I think it was 220 per agent per year. Last year, that was about 9% of the U.S. agent revenue per agent. What stops you guys from just being a little bit more aggressive on the international pricing front? Is there a little bit of low-hanging fruit until I can get to over time?
Erik Carlson:  Yeah, look, I mean I think on the growth part and the momentum, we've got – we just have some outstanding operators out there, and I think when you think about the time that the brand has been there, it's gaining momentum in certain markets. Some of that is the brand and kind of like the groundswell. A lot of it is just the outstanding operators we have. I mean, I was in Argentina in March visiting one of our operators that was celebrating 20 years. I mean, John, thousands of agents, and you can imagine with the Argentinian economy, I think 94%, 95% of the deals are all cash. But thousands of agents enthused about what it is to be part of the RE/MAX brand, and the opportunity that exists. Life-changing events that happen with agents. You know, I want to say our agents are somewhere in the 3.5x, 4x as productive as others. So it's really exciting to see, and we're seeing growth in South America, we're seeing growth in Portugal. And I think that part of it is just obviously the brand, and part of it is – a big part of it is really the operators. And you're right, I mean, I think we're trying to provide an approach where the operators can be successful with the fees we charge for the brand that we provide, and there's other opportunities. I mean, we talked about our marketing services platform at R4, along with our MAX/Engage app. You know both those are going to be in Spanish, and we'll have additional worldwide opportunities than maybe just the fee traditionally that you and the team have thought about as it relates to the international business at RE/MAX.
John Campbell : Okay. Thanks for the color. I appreciate that.
Operator: Our last question for today comes from the line of Tommy McJoynt of KBW. Your line is now open.
Tommy McJoynt : Hey, good morning guys. Do you have a real-time view of how RE/MAX's agent market share in the U.S. is trending? I just want to get a sense of, if some of the declines that you've seen are as much a function of the industry at large or if somebody is still trying to RE/MAX on specific things. Thanks.
Karri Callahan: Yeah Tommy, I mean, we look at market share across multiple different dimensions in terms of agent count and productivity. Because our agents are twice as productive as the industry average and have been for 17 years, looking at a percentage of agent count to NAR or something isn't necessarily as representative. I mean, obviously the industry as a whole has contracted. You know obviously we're doing what we can to kind of turn the ship in terms of stabilize and return to growth as we talked about earlier. And as I mentioned, we're looking at some of the green shoots in April from our efforts really starting to impact that. And so I would say that the trends around our performance from an agent perspective is actually a little bit better than the industry, just given the overall productivity in terms of how our agents actually impact the market and the number of transactions that they do.
Tommy McJoynt : Okay. Got it. Thanks. And then switching gears, with regard to NAR's update to the clear cooperation policy, does RE/MAX corporate have a house view that it kind of provides to its franchisees around the revised rule changes? I know some players in the industry have been anchoring themselves to one extreme or the other. Or is your view just to kind of let the franchisees maintain compliance with their local MLS, which is where the new NAR rule is seated in some of the decision making too?
Erik Carlson:  Yeah, I mean, great question, Tommy. And obviously we've had some kind of published statements in the industry rags, and I think we chatted a little bit about it on the last call. I mean, one is, obviously we provide education and guidance to our brokers and to our agents. Obviously we want our brokers to comply with all kind of the state, local laws, rules, etcetera. But look, we're really – we are steadfast on the side of standing for what's best for the consumer and that consumer experience. So I think that overall, as I said in my opening remarks, we're standing for transparency in the broadest distribution of listings. We think that's best for the vast majority of consumers who are trying to transact in real estate. That doesn't mean that there are not times when a private listing is needed, or by the way, being used. And we'll be set up to help our brokers and agents with that process. Some of our brokers use their own private listing processes today. But we just think the vast majority of transactions or listings should have the greatest distribution, and we're really going to stand on the side of the consumer and the agent experience. And so we think that that's served us well for the last 50 years. And we really think about the business long term, not for kind of short-term profits or to try to win agent count by having special offers. So we're trying to build something special here again, and building the foundation, and building a long-term view of what's best for brokers, agents, and consumers.
Tommy McJoynt : Great. Thank you.
Operator: I'd now like to hand the call back to Andy Schulz. Please go ahead.
Andy Schulz : Thank you, operator. Thanks to everyone for joining us on the call today. This concludes today's call. Have a great weekend.
Operator: Thank you for attending today's call. You may now disconnect. Goodbye!